GARMIN INTERNATIONAL, INC. :  Moderator: Polly Schwerdt   October 26, 2005   10:00 am CT 
Operator: Good morning, my name is (Renee). And I will be your conference facilitator today. At this time I would like to welcome everyone to the Garmin Third Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star then the number one on your telephone keypad. If you would like to withdraw your question, press star then the number two on your telephone keypad. Thank you. Ms. Polly Schwerdt, you may begin your conference.
Polly Schwerdt: Good morning. We would like to welcome you to Garmin Limited’s 2005 third quarter earnings call. Please note that a copy of the press release concerning this earnings call is available at Garmin’s Investor Relations site on the Internet at www.garmin.com/stock. Additionally this call is being broadcast live on the Internet and replay of the web cast will be available until November 26, 2005. A telephone recording will be available for 24 hours after this call. And a transcript of the call will be available on the web site within 48 hours at www.garmin.com/stock under the events calendar tab. This earnings call includes projections and other forward looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products, and our plans and objectives are forward looking statements. The forward looking events and circumstances discussed in this earnings call may not occur and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10K for the fiscal year ended December 25, 2004 filed with the Securities and Exchange Commission. Attending on behalf of Garmin Limited this morning are Dr. Min Kao, Chairman and CEO; Kevin Rauckman, Chief Financial Officer; Cliff Pemble, Director of Engineering; and Andrew Etkind, General Counsel. The presenters for this morning’s call are Dr. Min Kao and Kevin Rauckman. At this time I would like to turn the call over to Dr. Kao.
Min Kao: Good morning. From the press release issued this morning, you can see that we again experienced another record quarter. There were many significant accomplishments since our last earnings report: x We recorded 26% growth in our aviation business, and 31% growth in our consumer business. Sales remained strong in all regions, led by the European region’s 54% increase in revenue. x More than 700K Garmin products were shipped in the 3rd quarter of 2005, a 31% increase over the 3rd quarter of 2004. We shipped our 13 millionth unit during the quarter - a significant benchmark of the strength of the Garmin brand. x 49 new products were introduced year to date. x The response to our portable navigation devices has been especially strong, resulting  in a triple-digit increase in the sales of automotive product line. x The introduction of C-series, i-series, StreetPilot 2720 and M3, not only provides industry leading features such as real-time traffic and text-to-speech function that speaks street names, but also offers the consumer significant choice on price, form factor, functions and capabilities. This large product portfolio allows us to reach a broad spectrum of retail channels. For instance, x Our very popular C-series is distributed by most mainstream electronics retailers including Circuit City, Best Buy, Office Depot, CompUSA, Staples, Fry’s and many outdoor retailers such as BassPro, Cabela, and REI. x Our low cost, and extremely portable i-series is offered by Target, Circuit City, Wal-Mart, REI, and West Marine. x Our high-end, full-featured StreetPilot 2720 is offered by Best Buy, Circuit City, CompUSA and Car Toys. x The nuvi “personal travel assistant” that was introduced very recently, combines navigation, language translator, travel guide, MP3, audio book, and other features, all in one very elegant, and easy-to-use device, is the latest Garmin innovation, which creates a new category for the mobile market. x Our market position in the automotive and mobile space has also been strengthened  by the many partnerships that were made during the quarter, which include: x Our partnership with Dollar Thrifty, which provides car renters with the very popular and easy-to-use C330. x Our partnership with Sprint/Nextel to offer Garmin Mobile - our entry into the wireless navigation arena, which provides voice turn-by-turn navigation on cellular handsets with a true moving map function which is an industry leading accomplishment. x Our tier-one OEM relationship with Honda, which provides a custom designed GPS navigation module on the 2006 Honda Gold Wing motorcycle. x In the aviation market, we completed our 1st autopilot and radar certifications, which are very significant accomplishments making Garmin the only general aviation provider that can offer all essential cockpit technologies in a single, highly integrated system. x Finally, as a part of our continuing effort to expand our XM offerings, we introduced the GPSMap 396 and 376, which offer pilots and mariners real-time weather information on portable devices. These products are industry firsts and have been received extremely well in their respective markets. x As a part of our growth strategy, we acquired MotionBased Technologies, which provides exciting web-centric functions to Garmin’s current and future customers through a community-based portal. This acquisition enhances Garmin’s location- based technology portfolio and we expect that it will contribute to our mobile business in the long term. x On human resources, we added over 60 new associates company-wide, including 21 new engineering associates, bringing our research and development group to over 660, and to approximately 2,800 total employees worldwide. x With regard to facilities, I am pleased to report that our manufacturing facilities have been running well and successfully delivered the many new products that were introduced year to date. We expect to acquire a new facility in Taiwan in the next few months in order to meet the anticipated increasing demand in 2006 and beyond. Additionally, as a part of our marketing initiative, we are planning to expand our European facility. As we look forward, we anticipate continued success for the remainder of the year. Consumer awareness and interest in GPS continues to grow, which is clearly reflected in our financial results. While aviation and portable automotive product lines currently lead Garmin’s growth, we also see growth opportunities in marine, outdoor, and fitness product lines as we continue to develop new products and expand each product category. Additionally, we continue to explore additional rental car relationships and automotive and motorcycle OEM opportunities. The introduction of Garmin Mobile with Sprint/Nextel also set the stage for Garmin to expand its technologies into the wireless navigation market. The demand for portable navigation devices continues to show a significant expansion, particularly in Europe, and we believe we are positioned to take advantage of this development. In order to capitalize on these opportunities, our marketing team has committed to a significant holiday season advertising campaign around the globe. We will be investing millions of dollars to promote the Garmin brand through extensive TV, radio and print ads. In the aviation market, we continue to be pleased with the strong growth displayed by this business segment. Over 1000 aircraft equipped with Garmin’s revolutionary G1000 integrated cockpit are in the field, and the number will continue to increase as certification on additional airframes continues. In summary, we are very pleased with our results. In light of our strong third quarter results, we have updated our financial guidance to include higher revenue and EPS for fiscal 2005. With that, I would like to turn the call over to Kevin to discuss our financial results and the updated fiscal year 2005 guidance.
Kevin Rauckman: Well thanks Min and good morning everyone. I’d like to quickly walk through the third quarter financial results and also update everyone on the year to date results. And then end, as Min just mentioned, on our updated guidance that we just came out with this morning in the press release. So to first talk about the third quarter and Garmin’s third quarter revenue reported this morning was $251.3 million up 30% from the year ago. Our North American revenue came in at $163.0 million up 21% from $134.4 million. Our European revenue was $75.6 million up 54% from $49.0 million. And our Asian revenue increased 25% to $12.7 million. The gross margin during the quarter decreased 620 basis points to 51.5% from 57.7% a year ago and down 140 basis points sequentially from the second quarter of this year. But the 51.5% was in line with our earlier expectation. Operating margin was 33.9% compared to 39.8% in the third quarter of ’04 but was up 20 basis points sequentially from the second quarter of 2005. We reported net income of $102.5 million excluding the foreign currency gain that we mentioned in the press release our net income was $72.9 million. We also reported earnings per share for the quarter of 94 cents. This was 67 cents per share excluding the foreign currency gain. So earnings per share for the third quarter increased 52% from the year ago quarter excluding foreign currency the increase was 16%. Our total unit fill for the quarter increased 31% to 708,000 units. This compares to 540,000 units in the third quarter of ’04. As I said we reported gross margin of 51.5% compared to 57.7% a year ago. The gross margin results are within the range of our expectations for the quarter and for the year. You may want to be reminded that in the third quarter of ’04 those results were abnormally high due to extremely high favorable product mix, favorable raw material costs a year ago. We had very low product transition costs in that quarter. And we’d also just begun shipping a G1000 for the first quarter a year ago.  Looking at the margins side segment, our consumer gross margin during Q3 of this year was 46.7% and our aviation gross margins during the third quarter came in at 66.5%. We continue to experience strong acceptance of our new product approximately 44% of our third quarter sales were generated from products that have been introduced within the last 12 months. Garmin achieved an operating profit during the quarter of $85.2 million which is an operating margin of 33.9%. This is a decrease of 590 basis points compared to the third quarter of ’04. During Q3 SG&A as a percentage of sales decreased 70 basis points to 9.6% of sales from 10.3% of sales in the year ago quarter. This is a 22% increase in dollars over Q3 of ’04 and it was driven primarily by increased advertising, increased finance and IT expenses, increased call center expenses, and other administrative expenses during the period. Our R&D during Q3 increased 40 basis points to 8% of sales from 7.6% of sales during the third quarter of ’04. This is a 37% increase over the prior period and this increase came primarily to the – due to the hiring of our new engineering staff, an increase in the engineering program costs. We did hire 21 new engineers during the period over the – affects Q2 of ’05 and actually hired just under 100 engineers and engineering associates since a year ago, September 2004. We now employ a total of 662 engineers and engineering associates around the world. Overall our total operating expenses as a percentage of sales decreased 20 basis points to 17.6% from 17.8% in the prior year period. I’m sure you saw that we experienced a $36.4 million foreign currency gain during the quarter as the U.S. dollar strengthened compared to our Taiwan dollar from $31.36 at the end of June to $33.19 at the end of September. This is nearly a 6% change of foreign currency. The majority of our company’s consolidated foreign currency translation gains or losses results from the translation into new Taiwan dollars at the end of each reporting period of the significant cash, receivables, and payables held in U.S. dollars by our company’s Taiwan subsidiary. This translation is required under GAAP because foreign currency as a subsidiary is new Taiwan dollars. To remind everyone, there is minimal cash impact from this foreign currency translation and we expect that the Taiwan subsidiary will continue to hold the majority of its cash in U.S. dollars. We also reported interest income during the third quarter of $4.7 million compared to $2.4 million a year ago. We are currently earning approximately 4.2% pre-tax return on our marketable securities and approximately 2.9% of our total cash balances on a consolidated basis. The effective tax rate during the third quarter came in at 18.7% close to our earlier guidance of 19.4% and about 130 basis points below our third quarter of ’04 rate of 20.7%. We expect that our effective tax rate for 2005 will remain at the year to date rate of approximately 19.1%. Looking at the segments the consumer revenue during the third quarter was $190.7 million and represents a 31% increase over third quarter of ’04. Our consumer segment during the period was 76% of our total revenues and we saw growth across both recreation and automotive produce lines but especially within our automotive produce line where we experienced triple digit growth during the quarter. Our consumer gross margin, as I said, decreased to 46.7% in the quarter from 55.9% a year ago. This was strongly influenced by the product mix within the segment as the automotive produce line became a much larger percentage of our overall consumer segment. In the future it’s our goal to take advantage of the automotive growth opportunity by offering products at a very attractive price in order to drive both revenue and EPS growth. If we continue to be successful with this automotive growth strategy, we could see a more significant change in our margin. Our consumer operating margin decreased 9.2 percentage points down to 30.9% from 40.1% a year ago. This was driven by the reduced gross margin that I just spoke about and increased R&D expenses partially offset by lower SG&A expenses as a percentage of sales. Our aviation revenue during the quarter increased 26% to $60.6 million compared to $48.1 million in Q3 of ’04. Our aviation business therefore was 24% of the total company. The revenue increase within the aviation segment is due to continued shipments of the G1000 cockpit, our other panel met products, and strong shipments of our portable aviation products such as the recently introduced GPSMAP 396 product. Our aviation gross margins increased to 66.5% from 63.1% a year ago primarily due to the favorable product mix within this segment. And our operating margins within the aviation segment were 43.2%. This is an increase of 4.1 percentage points compared to 39.1% in Q3 of ’04. So the overall operating margin within aviation is increase is due to improved gross margins, reduced SG&A and R&D expenses as a percentage of sales. We did experience strong unit growth within both the consumer and the aviation segments during the period. Looking next at the balance sheet, our cash and investments at the end of the quarter increased up to $702.3 million, marketable securities make up $369.7 million of this total cash position. Our accounts receivable balance was $151.8 million at the end of Q3 and represents an increase of $41.7 million from $110.1 million at the end of 2004. And we saw in Q2 our shipment linearity during the third quarter was back end loaded into September which caused the higher receivable balances in the quarter. Our date of sale outstanding of AR is 60 days at the end of Q3. This compares to 44 days a year ago. We also have seen strong cash flow in October as we have now collected a significant amount of the September sales during the early part of Q4. Our inventory increased to $173.2 million at Q3 ’05 comparing to $160.3 million at the end of Q2 of ’05. As expected our inventory days of supply metric remained essentially flat with the second quarter of this year at 121 days. We experienced the following inventory changes during the quarter.  Raw materials decreased $2.8 million to $54.1 million and represents about 35 days of inventory. Our work in process at assemblies decreased $2.2 million to $32.2 and represents 22 days of inventory. Our finished goods increased $17.0 million to $98.8 million and this represents 64 days of inventory. Our overall inventory reserve decreased down to $11.8 million during the quarter. We will continue to focus on our supply chain management during the remainder of 2005 and definitely into 2006. On cash flow for the business, our cash flow from operations was $85.9 million during the third quarter of ’05. Free cash flow generated was $81.2 million. And again we define free cash flow as operating cash less capital expenditures. Our cash flow from investing during Q3 was $40.9 million use of cash. Cash flow from financing was $12.9 million use of cash. And overall our CAPEX for the quarter was $4.7 million. Looking next at our year to date financial results, the year to date revenue now stands at $708.5 million at 31% growth over 2004. Our year to date gross margins as we discussed in the press release this morning has come in at 52.6%. Operating income year to date, $240 million and net income of $224.1 million. Our GAAP diluted EPS is now $2.05 which compares to $1.45 in ’04. This 41% increase in EPS includes a $23.8 million FX gain in the year compared to a half a million gain during ’04. So earnings per share results excluding the foreign currency stand at $1.88 per share again a 31% increase compared to the prior year. Breaking down our revenue on a year to date basis by geography, our North American revenue is $449.7 million a 22% increase. Europe year to date is now up 50% at $223.3 million. And our Asian revenue has seen a 42% increase up to $35.5 million. The consumer segment, consumer revenue is $538.4 million year to date a 29% growth rate over 2004 and makes up 76% of our business. The aviation revenue is now $170.1 million through the third quarter of ’05 a 37% increase when compared to year to date ’04. And overall both our consumer and aviation units combined, we’ve shipped just under two million units at $1.99 million a 26% increase from 1,587,000 year to date ’04. Our year to date operating profits of $240 million were 33.9% of sales. SG&A increased as a percentage of sales to 11% from 10.3% a year ago. Our SG&A dollars have increased 39% compared to 2004. Excluding the restructuring costs and legal settlement that we discussed in the second quarter on a year to date basis, SG&A has now increased 31%. Our R&D has decreased as a percentage of sales to 7.7% from 8.1% in 2004. The R&D dollar investment has increased 26% compared to a year ago. Going forward we expect to see higher advertising costs especially in the fourth quarter as a result of our strategic plan to promote the Garmin brand in the consumer market both in the U.S. and increasingly in Europe. Now Garmin Limited will pay a 50 cent per share dividend for all shareholders of record as of December 1, 2005. The payment will be made on December 15 in 2005 and will require approximately $54 million use of cash. Under our share repurchase plan, Garmin during the quarter purchased 352,000 shares for a total use of cash of $14.7 million. For year to date during 2005, we have now purchased 638,000 shares for a total use of cash of $26.7 million. There now remain 2.3 million shares that are available to purchase under our 3 million share repurchase plan. And finally I’d like to give a little bit more detail on our updated fiscal year 2005 guidance. As you saw we’re – we have now moved from representing our numbers in millions to billions. And we are expressing that our full year guidance will be $1.0 billion to $1.02 billion for the full year which is a 31 to 34% growth rate. Our gross margins for the year should come in at 51 to 52%, operating margins 32 to 33%. As I said earlier, our effective tax rate for the year should be 19.1%. Therefore our net income range will be between $276 and $282 million excluding any foreign currency. And our earnings per share expectation is now $2.53 to $2.58 which is a 22 to 25% bottom line growth. This assumes an outstanding diluted share count of 109.2 million and overall our CAPEX expectations for the full year just about $30 million. So that’s our update on the financials. I would welcome any questions. We have a Q&A line open. So feel free to join in.